Operator: Greetings, and welcome to the Astronics Corporation fourth quarter and fiscal year 2025 financial results. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone should require operator assistance, please press 0 on your telephone keypad. It is now my pleasure to introduce your host, Deborah Kay Pawlowski, Investor Relations for Astronics Corporation. Thank you. You may begin.
Deborah Kay Pawlowski: Thanks, Shamali, and good afternoon, everyone. We certainly appreciate your time today and your interest in Astronics Corporation. On the call with me are Peter J. Gundermann, our Chairman, President, and CEO, and Nancy L. Hedges, our Chief Financial Officer. You should have a copy of our fourth quarter and full year 2025 results which crossed the wires after the market closed today. If you do not have the release, you can find it on our website at astronics.com. As you are aware, we may make some forward-looking statements during the formal discussion and the Q&A session of this conference call. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release as well as with other documents filed with Securities and Exchange Commission. You can find those documents on our website as well or at sec.gov. During today's call, we will discuss some non-GAAP measures which we believe will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP measures with comparable GAAP measures in the tables that accompany today's release. So with that, I will turn it over to Pete to begin. Pete?
Peter J. Gundermann: Hello, everybody, and welcome to our fourth quarter 2025 year-end call. We closed the year on a very strong note, and are happy to share the results. I will start off with a summary of the headlines for the quarter, then Nancy will go through the financials in some detail, then we will discuss our early look at 2026, finally, we will open the lines for questions. Simply put, our fourth quarter was very strong. Revenue of $240,000,000 easily set a new record, besting our previous high watermark set in 2018 by almost 13%. Sales were up on the comparator 2024 by 15% and the preceding quarter also by 13.5%. Sales growth was due to the strong market conditions we see across our business and solid execution across our operations. The strong sales volume combined with a number of efficiency, pricing, and productivity initiatives that we have implemented across the business resulted in a much improved Q4 margin profile for the quarter. We also benefited from a favorable mix in the quarter. Operating income was 14.8% and adjusted EBITDA was 19% for the quarter, both post-pandemic records. The improved margins drove improved cash flow, with $27,600,000 cash from operations for the quarter. We also completed a planned transition from an ABL line of credit to a cash flow revolver. At the end of the quarter, we had available liquidity of $231,000,000. To top it all off, we had total bookings in the quarter of $257,000,000, for a book-to-bill of 1.07, leaving us with a year-end backlog of $674,500,000, another new record. All in all, our fourth quarter was an excellent close to the year. I will turn it over to Nancy now to cover a range of specifics on the quarter.
Nancy L. Hedges: Thanks, Pete, and good afternoon, everyone. I will walk through our fourth quarter and full year results in more detail, provide some color by segment, review cash flow and the balance sheet, and then close with key financial priorities. As Pete noted, we delivered on our expectations of a step change improvement in revenue growth in the fourth quarter. The 15.1% revenue growth also drove strong operational results. Gross profit increased nearly 29% to $80,000,000 and gross margin expanded 350 basis points year over year to 33.3%. The majority of margin expansion was the result of higher volume and favorable mix. This included a surge in aircraft spares orders that we expect will benefit the first quarter as well. The 2025 period also benefited year over year from repricing actions taken throughout 2025. Margin was also supported by some normal course catch-up pricing on a couple programs, overall productivity gains, and the benefit of earlier Test Systems restructuring actions, which more than offset the $2,900,000 of increased tariff expenses. R&D expense was $10,600,000 or 4.4% of sales, which is within an expected 4% to 5% run rate. Levels can vary from quarter to quarter based on the timing of projects. The $7,300,000 decline in SG&A expense was primarily the result of a $9,000,000 reduction in legal reserves and litigation-related expenses. SG&A included the incremental SG&A expense gained from the Buehler acquisition as well as the one-time legal and accounting costs related to it. At 14.1% of sales, we were at the lower end of our historic operating rate of 14% to 15% of sales. We expect to continue to benefit from lower litigation expenses and the cost saving measures we have implemented. Stronger gross profit and lower operating expenses flow through to operating income, which was $35,500,000, up sharply from $8,900,000 a year ago, and operating margin expansion of 10.5 points to 14.8%. On an adjusted basis, which excludes the acquisition expenses and continued litigation costs, operating income was $38,300,000 and adjusted operating margin expanded 450 basis points to 16%. We had solid conversion to net income, which was $29,000,000 or $0.78 per diluted share in the quarter, compared with a loss in the prior year period. I do want to point out that our diluted shares for the 2025 fourth quarter included 1,400,000 shares associated with the assumed shares underlying the remaining 5.5% convertible bonds, as the average share price for the quarter was above the conversion price on those bonds. However, there was no diluted EPS effect in the quarter related to the 0% new convertible bonds, as the average share price was below the $54.87 conversion price. As a reminder, we do have a capped call in place, which means that there is no actual potential dilution unless and until our share price exceeds $83.41, after which potential dilution comes on gradually beyond that price. Nonetheless, the calculation for the diluted average weighted share count will reflect the implicated shares associated only with the premium on the bonds, as long as the quarter's average share price exceeds the $54.87 conversion price. Adjusted net income was $28,500,000 or $0.75 per diluted share, which is lower than the GAAP reported net income as a result of normalizing the quarter's tax rate. The volume, mix, reduced litigation expenses, and pricing recovery benefited Aerospace operating profit in the quarter, which was $41,700,000 or about 2.5 times greater than the prior year period, and resulted in operating margin of 19% of sales. On an adjusted basis, Aerospace operating profit margin expanded 380 basis points to 19%. Even on a relatively low level of sales, Test Systems produced operating profit of $1,100,000 compared with slightly below breakeven results a year ago. The improvement reflects the benefit of simplification and restructuring actions taken in 2024 and 2025, partially offset by continued unfavorable mix and under-absorption of fixed costs at our current volume. We expect profitability to improve meaningfully once production on the U.S. Army radio test program ramps. Before we turn to the balance sheet, I wanted to touch on tariffs for a moment. As you all know, the U.S. Supreme Court held a imposed under the International Emergency Economic Powers Act or IEEPA exceeded the authority granted by that statute. We are reviewing this decision with our advisers to understand any implications for previously paid tariffs, and our go-forward cost structure, but at this time, we are not assuming any benefit in the outlook. To date, we have treated these tariffs as a normal cost of doing business, and have not recognized any asset for potential refunds. Time will tell if there will be an opportunity to recoup any or all of the approximately $8,000,000 in incremental tariffs previously paid. We will, of course, be monitoring the situation closely. Now moving on to cash and the balance sheet. We had a strong cash quarter and generated $27,600,000 in cash from operations in the quarter, and $74,800,000 for the year. Strong cash earnings in the quarter were partially offset by higher working capital to support increased order volume. Operating cash flow also included a tenant improvement allowance reimbursement of $5,000,000 for the quarter, which is offset by the CapEx in the buildout and consolidation for our new Redmond, Washington facility. For the year, we had $8,000,000 in reimbursements. Capital expenditures were $11,800,000 in the quarter, and $31,700,000 for the year. We still have some work to do on the Seattle facility consolidation, so there will be carryover into 2026. We are expecting CapEx of $40,000,000 to $50,000,000 for 2026. Not included in that number is approximately $14,000,000 to $18,000,000 of investment into a global enterprise resource planning system. Because of the accounting treatment for those types of projects, that spend will not be reflected in CapEx, but instead will come through as cash outflow from operations. We are planning a staged implementation of the ERP. Excuse me. And the project is projected to take approximately five years to complete, with the cost expected to be heaviest in 2026. We will be relying on both outside resources and a dedicated team to execute on the implementation. We closed the year with $18,200,000 in cash and cash equivalents, net debt was $324,800,000 at the end of the year, up from $156,600,000 at the end of 2024. The increase reflects the refinancing actions that we executed in September 2025 that included the repurchase of 80% of the $165,000,000 principal 5.5% convertible bonds, which required $285,800,000 given how far in the money those bonds were at the time. We also purchased a capped call for $26,900,000 which elevated the strike price on the new bonds issued to $83.41. To pay for the repurchase in the capped call, we issued $225,000,000 of 0% convertible bonds, we borrowed on our revolver, and we used cash on hand. As Pete mentioned, in October, we also entered into a new $300,000,000 senior secured cash-flow-based revolving credit facility, of which we had $85,000,000 drawn at year end. We closed the year with $231,000,000 in available liquidity, including the remaining available on the revolver and $18,000,000 in cash. Our capital allocation priorities remain oriented on funding organic growth and critical capacity and infrastructure investments, while maintaining a prudent and flexible balance sheet. We believe our current capital structure, improved profitability, and healthy liquidity position us well to execute on these priorities. Our financial priorities for 2026 include to deliver on our revenue outlook, supported by a record backlog and strong demand in Aerospace, drive further operating margin expansion with an emphasis on achieving sustainable high-teens operating margins or better over time, improved Test Systems profitability as volume ramps on the Army Radio Test Set Program, and to maintain a strong liquidity position while investing in our future. With that, we are pleased with the progress we made in 2025 and the foundation that we have built for 2026 and beyond. Pete, I will turn it back to you to discuss our outlook. Thank you, Nancy.
Peter J. Gundermann: One more comment on 2025. It was, in retrospect, very much a year that played out as we originally expected. When it began, we thought it would be a year of more modest growth compared to the three years prior, but it would also be one where we would dial in and fine tune our efficiency initiatives and cost structure while realizing the benefit of pricing actions to bring about significantly improved margins. And that is pretty much what happened. Growth in 2025 was 8.4%, down from an average of over 20% for the three years prior, as we clawed ourselves out of the pandemic. But the more manageable growth we saw in 2025 allowed us to work on our margins, which today are much improved over the prior year. 2025 saw adjusted operating margin of 12.2%, up from 7.7% in 2024. Adjusted EBITDA was 15.6%, up from 12.1% in 2024. It is now time to talk about 2026, and we think 2026 is shaping up to be a very good year for our company. Long story short, we anticipate growth picking up significantly over 2025, and we believe our margin journey has plenty more room to run. A few weeks ago, we issued preliminary 2026 revenue guidance of $950,000,000 to $990,000,000. The midpoint of that range, $970,000,000, would represent growth of 12.5%. The high end of the range, $990,000,000, would represent growth of nearly 15%. This level of growth is a solid step up from 2025, but not as crazy and challenging as the years before that. As for margins, we do not issue bottom line guidance, but we believe that the broad range of initiatives that helped us make progress in 2025 remain in place, and we expect to see continued progress given the higher sales volume we expect to see in 2026. As for cadence, our current expectation is that first quarter sales will be in the range of $220,000,000 to $230,000,000. We expect a modest step up from there in subsequent quarters such that the second half of the year will see quarterly sales above $250,000,000. We expect that the sales volume will play well with our evolving cost structure and efficiency initiatives. There are of course some risks. The most prominent of those includes geopolitical risks, which are wide ranging and macroeconomic in nature, tariffs are another question mark, which is as unpredictable as ever. Closer to home, we continue to wait for the U.S. Army to turn us on for volume production of our 4549T radio test program. The government shutdown late last year did not do us any favors in this regard. We now believe that we will get the long-sought-after turn-on early in 2026 or shortly thereafter. In summary, we expect 2026 to be a remarkable year for our company. We expect to post strong growth and continued progress with our bottom line. We look forward to updating you regularly on our progress as we work through the year. And that ends our formal. Shamali, we can open up the line for questions now.
Operator: Sure. Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 to remove yourself from the queue. If participants use speaker equipment, it may be necessary to pick up the handset before pressing the star keys. One moment, please, while we poll for questions. And our first comes from the line of Jonathan E. Tanwanteng with CJS Securities. Please proceed with your question.
Will (for Jonathan E. Tanwanteng): Hi. This is Will on for Jonathan E. Tanwanteng. Assuming you achieved the midpoint of your Q1 full year revenue guidance, you will be doing $245,000,000 to $250,000,000 in quarterly revenue on average in Q2 to Q4. Can you do a similar 19% to 20% EBITDA margin in those quarters?
Peter J. Gundermann: That would be a goal. That is what we are thinking. We are shooting for. I would point out that the fourth quarter, the quarter we are reporting on today, was a little bit unprecedented. We had not been at that volume before, and it did benefit from a strong lineup of tailwinds. So, you know, we are hoping to repeat that kind of performance as we move through the year and as we go further. One of the other questions that we will answer as the year progresses is what our marginal on incremental revenue dollars might be. We have consistently in the past been in the 40% to 45%, 50% range. And that thesis will be tested as we move through the year into those higher volume levels. But at this point, that is our goal. Thank you. Super helpful. And then just one more. Can you add some color to what you are hearing from the Army radio test program? And is that the biggest swing factor in terms of achieving the high or low end of your revenue guidance?
Peter J. Gundermann: It is less and less of a swing factor as we move through the year. We have discounted a little bit. We originally thought it would get started, you know, right around year end 2025. The government shutdown pushed it out, and the wheels are in motion, I guess, I would say. We believe it is a matter of when and not if. We believe that most of the task items that have to be accomplished in order to get a green light on the project have been or are being completed. So we think the user community is definitely in line to get it going, and we expect that to happen shortly here. But again, it is a little bit hard for us to predict when and how the Army will act on this kind of matter. But we are planning a second quarter turn-on.
Will (for Jonathan E. Tanwanteng): Thank you.
Operator: Our next question comes from the line of Gautam Khanna with TD Cowen. Proceed with your question.
Gautam Khanna: Yeah. Just wondering if you could characterize the order influx in Q4. Was it concentrated in any specific product areas? Was it broad based? Maybe you could talk about some of the customers. Was it aftermarket orientation or OE? Etcetera.
Peter J. Gundermann: Yeah. I would tell you that there was nothing singly outstanding or specific. It was pretty broad based and across the board, both for linefit and aftermarket, pretty consistent with our revenue base. That being said, there are a few pretty significant programs out there that we were waiting for, hoping to bring in in the fourth quarter. Had we done that, it would have been a blowout fourth quarter bookings number, but as it is, we feel like, you know, there is pretty good targets for the first quarter and second quarter as we work to pursue those things that have maybe slipped a little bit. But nothing really special, I would say, that drove fourth quarter bookings. It was just rising tide, you know, lifts all ships, and we were beneficiaries of that.
Gautam Khanna: And that leads me to my follow-up, which is just can you characterize what you are seeing in Q1 and the pipeline beyond Q1 with respect to orders?
Peter J. Gundermann: Yes. We are pretty optimistic. I mean, you know, we obviously have to keep bookings above shipments to some extent in order to achieve kind of a 10% to 15% growth rate in 2026. But at this point, obviously it is early in the year, but we feel pretty optimistic we have got kind of a target-rich environment that we are working in that we should be able to convert into revenue dollars in plenty of time to achieve that growth. So at this point, of all the things we kind of sweat about, the bookings and the demand in the market is not really one of them.
Gautam Khanna: Terrific. And then just lastly, on pricing broadly, I do not know if you could characterize how that is trending and I do not know if you are willing to comment beyond 2026, but with respect to pricing opportunities for the overall portfolio.
Peter J. Gundermann: That is a good question. I think I am pretty pleased with the achievements we have had kind of repricing our business mix on the heels of the inflation that we saw over the last few years. That definitely has been beneficial to our results. And I would tell you that if I look across the book of business, this is a kind of a hard thing to estimate, but we are probably somewhere in the 70% to 80% complete range there. We have a few major programs that will be coming due over the next year, year and a half, and we will, you know, execute on those as we have on the others. But for the most part, you know, we have kind of fixed the deficit that we found ourselves in when inflation kicked up costs faster than we could raise prices. I think we are catching up. We are well on our way. We have got a little bit further to go, but for the most part, I would say we are 70% to 80% done.
Gautam Khanna: Terrific. Thank you.
Peter J. Gundermann: Thank you.
Operator: Our next question comes from the line of Michael Frank Ciarmoli with Truist Securities. Proceed with your question.
Michael Frank Ciarmoli: Hey. Evening, guys. Nice results. Thanks for taking my question here. Apologies for the background noise. I am on the news. Just Peter, Nancy, on the Aero margins, you know, really great performance. I mean, you maybe just unpack that a bit? I mean, obviously, it sounds like you got a pretty big tailwind from reduced litigation and reserves. But then I think I heard you call out a pretty significant order for spares. You got the pricing. You know, I am assuming we are not going to take this and run-rate it forward, but maybe if you kind of remove some of those items, you know, I am thinking litigation and spares, you know, are you still trending, you know, above that maybe, you know, high 16%, 17%, or do you think you kind of do better than that going forward here with these volumes?
Nancy L. Hedges: No. I think there is definitely, you saw, Mike, our adjusted table in the back, which removes the litigation and the, you know, the nonstandard types of items. So we are at 19.8% on an adjusted basis for Aerospace. There is obviously mix was beneficial in there, and we had some of those repricing actions that we mentioned. But we still think that high teens is achievable. You know, we have, you know, we have been in that mid to high teens all year. You know, this quarter was quite favorable. We think some of that mix is going to continue on into Q1, as we mentioned. So, yeah, there could be some puts and takes quarter to quarter, but, yeah, I mean, that mid to high teens is where we expect to run. I would also add, Michael, that one of the things that excites me about our situation right now is it is not one thing. It is not one program. It is not one driver that is really producing the results. It is more a groundswell of things all across the board, and we do not dive into them all in too much specificity. But the strength of the results is based on a real broad-based set of drivers, which gives us a lot of confidence that it is going to continue. So just wanted to throw that in there.
Michael Frank Ciarmoli: Okay. Okay. And, Nancy, yeah, I was looking at that table. I guess the press release talked about a $9,300,000 decrease in litigation. And, I mean, we could probably take it offline because I see the $1,400,000 in there. But was there any way to quantify the benefit to the margins from the spares?
Nancy L. Hedges: Yeah. It is terms of quantify, we could probably quant. It was just a favorable aftermarket environment, Mike. So there is not necessarily one program. It is just, it was, like Pete said, we got some broad-based tailwinds that were behind us, and it happened to be a particularly, you know, a particularly strong quarter in terms of aftermarket. Right. And if I add a little color to that, we are not a business that generally has a whole lot of spares and repairs kind of aftermarket business. We do a lot of retrofit business, but as you know, Michael, for us, that is pretty consistent with how we sell to OEM applications also. So it is not a retrofit. It is this quarter benefited from kind of a spares and repairs element, which is a little bit over and above what we typically see. So that is why we called it out.
Michael Frank Ciarmoli: Okay. That helps. And then, Pete, if I may, just on the outlook for 2026, any, maybe can you give us a sense of what kind of production rates you are thinking about? I mean, obviously, we heard, you know, from Boeing, there might be two rating reasons on the MAX. It sounds like, you know, maybe the bigger content wide bodies are certainly moving in the right direction. But any sort of assumptions underpinning kind of the revenue guidance?
Peter J. Gundermann: I guess what I would tell you is that we get the same message from the OEMs that everybody else does, and we are planning and spooling accordingly. But when we publish our numbers, we are discounting that a little bit. We are sliding some of those rate increases three or four months, not as though we will be unable to keep up if, you know, if they do that, but, you know, just to be conservative, we feel like it is appropriate to discount it just a little bit. So there is some conservatism built into the numbers there.
Michael Frank Ciarmoli: Okay. And then last one on 2026 and maybe just cadence of one program. Any general update on the MV-75? And then kind of where things stand with that opportunity and that ramp?
Peter J. Gundermann: We are chugging away with it. You know, again, it is a little bit of a situation where the Army is pretty public in saying that they want to accelerate that program. We understand that that is not always an easy thing to do. I can tell you that we will not be the holdup if they want to accelerate the program. We think we are on schedule to do it as they want. In terms of revenue for the year, do not have this exactly in front of me, but I believe that we generated something like $30,000,000 of revenue in 2025 on that program, approximately $20,000,000 the year before that, and we expect to step up this year to somewhere in the neighborhood of $40,000,000. So it becomes a bigger portion of our overall task list. We expect that we are going to be done with the development phase of the program in 2027. So largely done by the end of this year.
Michael Frank Ciarmoli: That is helpful. Thanks a lot, guys. I will jump back in the queue.
Peter J. Gundermann: Alright. Thanks.
Operator: Thank you. Next question comes from the line of Greg Palm with Craig-Hallum Capital Group. Please proceed with your question.
Greg Palm: Yes. Thanks. Congrats on a good way to finish the year. Maybe just looking back, you talked a little bit about Q4 specifically, but as it relates to kind of the Commercial Aero segment, can you give us a sense on how both OE and retrofit performed for the year, like, an absolute and maybe relative to one another, and just based on your expectations for this year, any change in how both of those perform relative to one another?
Peter J. Gundermann: Our sense is that they are both going to continue to be pretty strong, Greg. The production rates are well publicized. You know, they are well discussed in the industry. We do not have any insight beyond those, beyond what I have already talked about. If they can build the airplanes, we will ship the product. There is no question about that. And, otherwise, we continue to benefit from what I describe as a secular trend where people, they travel, have almost an insatiable desire to be connected and entertained. So there is pressure on the airlines in the aftermarket to keep up with people's desires, you know, passenger desires when they step on board a commercial airplane. And that is half our business is basically in-flight entertainment and connectivity. And we continue to see strong tailwinds both on the OE rate side and the aftermarket side. And we benefit also, as you know, that, you know, the technology life cycles in that part of the Aerospace industry are pretty short. So even though product may be functional, perfectly fine, just as intended, it becomes technically obsolete and needs to be updated. So we are in a constant position where we get the opportunity to try to, you know, replace ourselves really with newer product that keeps up with consumer electronics. So it continues to be a pretty good picture. I cannot tell you there is a meaningful shift one way or the other in terms of aftermarket versus OE production rates. We are fairly optimistic on both at this point.
Greg Palm: And, yeah, that is good color. And on the retrofit, you know, specifically, as I think about, you know, some of that that you sort of alluded to, there is a lot of new things, you know, going on inside the plane. I mean, I can think about, you know, how we access to the Internet and, you know, Wi-Fi and how that might change, you know, from GEO to LEO, maybe even, you know, the exact way we charge our phones. So how does, how might that impact you this year? What type of opportunities might, you know, sort of emerge over the coming years?
Peter J. Gundermann: Well, it is an interesting question. I do not know how much time we have on this call, but that is a big part of what we live for at Astronics Corporation. And I can think off the top of my head there are all kinds of things happening with satellite geometries or geologies, architectures, and the carrier systems, and the security protocols on wireless access points, even electrical power. I mean, people think of that as relatively staid, but it has not been too long since we moved from 110 volts AC to USB Type-A to USB Type-C. And now there is pressure for new wireless kind of protocols for charging in airplanes. So it is, again, a target-rich environment, and we have a pretty comprehensive product line that addresses all those product areas. And one of our challenges is to see where consumer electronics is going and stay in front of it and find a way to get it offerable and commercialized so it can get on airplanes. And we have a pretty good road map in a range of areas to address those opportunities. So, you know, it takes some time for some of those to play out, but I expect 2026 will be a meaningful year, you know, get a little firmer and we will talk about those developments as they down the road in our regular calls. But we think it is an optimistic setup for the year for sure.
Greg Palm: Yeah. Okay. And I guess just last one. I wanted to just spend a minute on flight critical power. And you mentioned FLIRA, but, you know, just given the attention, some of the interest, and I know, like, unmanned aircraft, CCAs, it just seems like maybe there is an opportunity that is emerging there that could provide some additional opportunities as well. I just wanted to get your thought.
Peter J. Gundermann: It is a very good question, and it is an exciting topic. It is one of our main strategic thrusts, flight-critical electrical power, and we have become specialists basically in designing electrical power generation and distribution systems primarily for smaller aircraft. And we do work across the board, but in that particular product line, we are specialists in small aircraft. We started off primarily focused in business jets. We have found our way into military programs, the FLRAA program or the MV-75 being the, you know, the kind of the big highlight, you know, so far that we are really excited about. That is a transformational program for our business. But while we are busy doing these things, these other class of aircraft have come up, like eVTOL, which are, again, small, electrically intensive aircraft, and drones. Not the, you know, the smaller dispensable drones that, you know, may or may not come back to fly a second mission, but the higher-end ones, the CCAs, like you mentioned, those are right up our alley. We have technologies that make our very well suited for these smaller remotely piloted or autonomous aircraft. And we are heavily involved in a range of development programs right now. But most of them are, you know, unofficial and not programs of record at this point. We cannot go into a whole lot of detail, and there are more questions than answers. But we are very excited about where that business is going to go. It is about 10% of our total right now, but it is one of the most potentially explosive growth areas in our business. So we are excited to see how it plays out. MV-75 gets the big headlines. It will continue to get the big headlines this year. But kind of in the background, there are going to be a number of other development programs that, and things we can maybe talk about more freely when the time comes, that could be pretty exciting for our company.
Greg Palm: I am sure we all look forward to hearing more. I will leave it there. Thanks.
Peter J. Gundermann: Alright. Thanks, Greg.
Operator: Thank you. And ladies and gentlemen, this does conclude today's question-and-answer session, and this also concludes today's conference. You may disconnect your lines at this time. We thank you for your participation. Have a great day.